Operator: Good morning. My name is Beth, and I will be your conference operator today. At this time, I would like to welcome everyone to the Chesapeake Utilities Third Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I will now turn the call over to Chief Financial Officer, Beth Cooper. You may begin your conference.
Beth Cooper: Good morning everyone. I am glad to thank you for joining our third quarter earnings conference call. We’re hosting today’s call from Salisbury University. This is the third time that we’ve actually been here at Salisbury University. We appreciate Dr. Weer, the other members of the faculty, the students that are here. It’s a great honor for us to be back here. This is actually Mike and my – our alma mater, so it’s very important to us to be here. Also joining us in the room today, we have several members of our management team as well as one of our board members, Dr. Forsythe. Before we begin the call, I’d just like to also thank the many veterans that are out there on this special day, coming up here. And so we want to say thanks for all the service that you’ve given to our country. Right now, we’re going to begin to look over our results for the third quarter. Before we do that, what I’d like to do is, first, just remind everybody that our presentation today may include some forward-looking information. And I would refer everybody back to our Form 10-K, where we talk about those factors that may cause our actual results to differ from the forward-looking information. Now, I am going to turn the call over to our President and CEO, Mike McMasters, who is going to begin with a discussion of the quarterly results. Mike?
Mike McMasters: Thanks, Beth. Good morning everybody. I guess as you, I guess, have seen in our earnings release yesterday, we’ve had a very strong quarter. We feel very good about that. Earnings per share of $0.42 for the third quarter, up from $0.29 last year, a 45% increase. We’ve broken out the earnings per share – or the earnings per share impact of all of these changes. What you’ll notice right at the top, lower operating and maintenance expenses of $0.07 of share, pretty substantial move for us. You’ll also notice at the bottom, you’ll see some higher payroll benefits cost. So what we have, really, as a result of our growth last year and also our work on our cost control. We’ve been able to save the $0.07, but in addition to that, we’re offsetting that. As a result, again, of the growth, we have incurred $0.03. When you look at the next line down, higher retail and wholesale propane volumes at improved margins, $0.06 a share, pretty solid contribution for the third quarter, natural gas transmission and distribution, $0.04 a share. Once again, for the third quarter, a pretty strong number. Implementation of the new rates for Eastern Shore Natural Gas as a part of the rate increase that we filed back in August – or excuse me, for the rates in effect in August. Moving on down. Aspire Energy margins and volumes, $0.02 a share. It’s an unregulated company in Ohio. Higher depreciation and taxes resulting from our growth as well, $0.07 a share, to the negative. So overall, $0.13 per share growth. When you look at the key third quarter accomplishments, interim rates I just mentioned on August 1 for the Eastern Shore rate case. FERC approved the 2017 Eastern Shore Natural Gas expansion. As you may recall, there was a – some challenges with the first, some of that being the lack of quorum there for a little while. Northwest Florida Pipeline Expansion is underway. That’s a pretty big project. We’ll talk about that a little bit later. And we have another project, a new project, a 14-mile pipeline to serve our customers in New Smyrna, Florida, also, obviously, a Florida project. And then finally, minimizing the impact of Hurricane Irma on our Florida operations. Our Florida team is very well accomplished with the – with managing hurricane situations, and they did a great job this year, as usual. And really, the biggest single risk is really going to be on the electric side, and that was managed very well and professionally. We’re very, very pleased with that. Next up on Slide 4 Eastern Shore Natural Gas. I’ll talk a little bit about the rate case. What you’re going to see on the left-hand side is the System Reliability project. As you may recall, a couple of years ago, with the polar vortex, there are a lot of issues, service disruptions, I’m going to say, upstream of us, which reduced the pressures of the gas coming into our system, which, in turn, reduces our ability to deliver gas to customers, especially on extremities of our system. And so we did this reliability project. We invested $38 million to improve the reliability. So in the event of those type of circumstances, we would be able to maintain service. So what you’re seeing there, 10.1 miles of pipeline in New Castle and Kent Counties, 2.5-mile looping segment has already been completed in December – or December 2016, excuse me. Remainder of the project was completed in the fourth quarter 2017. So we’re moving forward with that. That was a part of the rate case, an important part of the rate case. Now why did we file? Typically, what will happen in a FERC filing is that you’ll be asked to come back and submit another filing so that they can monitor where we are in terms of our returns. So that – we had to require a comeback filing, and we made that with the filing. Also, we filed the inclusion of System Reliability investment, and other investments that have made sense in previous rate case of 2012 were included in the filing. And then an overall increase in cost of service, as you would expect, from 2012 moving forward. Costs have gone up. Some of that are things like pipeline integrity, et cetera, and also just the complexity of our system now that we have all of the additional demand. So the 2017 case filing made January 2017 requested the return on 2016 project, et cetera, and the whole cost of service. Interim rates August, recorded $1 million in margin in third quarter as a result of that rate case. And so discussions are ongoing. Going to Slide 5, again, Eastern Shore’s 2017 expansion. As we’ve mentioned – I guess we’ve mentioned before, we had an approximately $100 million project there. Now it’s gone to $115 million. A lot of that has to do with the compression of the project, the construction over the winter but, in addition to that, increased costs over time since we initially estimated our – in our estimates. And what’s happening now there is a significant demand for pipeline contractors as the FERC’s gotten squirm and are starting to approve the projects. Annual estimated margin, $15.8 million, a pretty significant contribution to 2018 earnings. Construction period, we just got approval on October 4. We’ve done some minor construction now and expect the whole project to be in service second quarter of 2018, which is a pretty tall order, getting it done that quickly during the winter season. Project description: 25 – or excuse me, 23 miles of pipeline looping Pennsylvania, Delaware and Maryland; 17 miles of new mainline extensions; upgrades to our TETCO interconnect, which is a [indiscernible], 3,750 horsepower of new compression and two new compressor control stations. Overall capacity increase, 61,162 dekatherms per day. That – actually, on an equivalent residential customer basis, that’s going to be 60,000 customers, so that’s a pretty big expansion. You can see project construction commencing in fourth quarter and in service second quarter of 2018. Florida natural gas projects. We’ve got two projects that we’ll talk about, the first one being the Northwest Pipeline Expansion. You’ll see that – this is Slide 6, you will see that when you look to the top left hand side, that project is very close to Alabama, the northern part, and then runs down to Pensacola. We have customers that we’ve already signed up for this and are committed to capacity, which are basically making this project affordable or profitable. It’s a $36 million project, $35.9 million. Overall, that, coupled with the New Smyrna expansion, will generate about $6.5 million a year in margin, and you’ll see that contributing also to the 2018 earnings. Construction period, New Smyrna is expected to be in service the first quarter of 2018; Northwest Pipeline Project, second quarter of 2018. So a lot of hard work and work done to get these projects on board. Project description: 33 miles of transmission, 8 miles of distribution for the Northwest Florida Project. Customer commitments I mentioned a moment ago, 68,500 today, so a pretty substantial commitment. We saw a little bit of capacity left in the play that we are in the process of – we’re trying to sell that capacity now. And then the New Smyrna project, 14 miles. So these are both very good projects for us, a lot of more work certainly to get this done, as there are with all projects that we’re doing. And with that I’m going to turn it back over to Beth
Beth Cooper: Moving to Slide 7. What this table summarizes, and many of you have seen this in our press releases, is our expected future margins associated with the large projects that we’re undertaking. And you’ll see, as we look out over 2016, 2017 and 2018, these larger projects are adding about $27 million in total. What’s interesting to note, and Mike just talked about them, if you look at those three key expansions that he talked about, those, along next year, are going to add an estimated $14.8 million in margins, so very significant. But also, what we also want to communicate here is that we’re also seeking to identify those opportunities that are going to further add margin in 2018 and 2019 and then beyond. Moving to Slide 8. I’m going to come back and talk just for a few minutes a little more detail about the quarter and what happened for the quarter. Overall, Mike mentioned that our earnings per share was up $0.13. That’s a 45% increase for the quarter. That’s the result of our net income, which was also up 55% for the quarter. And that was a result of, really, our gross margin, which was up by about $4.6 million for the quarter, which basically, a good part of that, $4.1 million of that made its way to the operating income line and represented about a 40% increase for the quarter. So our gross margin growth continued to be strong. It was strong, as Mike talked briefly about, in both of our segments, both on the regulated side as well as on the unregulated side. What’s interesting is the operating income growth, when you look at Slide 9, is pretty equivalent. It’s about $10.1 million in both segments. However, on the regulated side, that was a result of about $1.5 million gross margin increase, coupled with about $600,000 of lower expenses. On the unregulated side, we saw a $3.1 million increase in terms of margins, slightly offset by about $1 million of expenses. The key drivers on the regulated side of the business, Mike mentioned the $1 million rate increase that we put into effect in the third quarter. In addition to that, we had gross margin growth as a result of our natural gas distribution and transmission growth in GRIP. That also represented about another $1 million. So the two biggest, largest drivers on the regulated energy side were the gross margin growth coming from the rate increase and equally from growth that we experienced. On the unregulated side, across the spectrum, there were growth in our businesses. First, on the propane side, we had growth in our margins across the board, whether it be in the retail, the wholesale or also in our auto gas business. We also had increased volumes that resulted in about the same amount of gross margin growth, both of those being just slightly under $1 million. With Aspire Energy, Aspire recognized about an equal amount also in terms of margin growth as well as volume growth, about $300,000 in each, increasing their margin by about $600,000 quarter-over-quarter. And then lastly, Eight Flags was in full operation for the quarter compared to last year, where they were down a couple of days. And basically, that added an incremental $300,000. And then last year, we had a loss that Xeron had experienced in the third quarter, and we didn’t have that repeat this year since they wound down their operations So overall, very strong quarter. Operating income-wise, equal, but gross margin growth, significant in both but exceptionally strong, as you can see, also on the unregulated side for the quarter. And this just holds true also as we look at Slide 10, you’ll see that other earnings per share increase of $0.13. $0.17 of that is coming from that gross margin growth that I just talked about. This slide – moving to Slide 11 here. Basically, one of the things that we want to just talk for a few minutes about, I mentioned the propane margin growth. But in addition, as I’ve talked about on the Aspire side, they’ve been able to renew contract. They found opportunities to expand margin, all while pursuing aggressive growth that’s been well above the 5% that we’re even experiencing here in our Delaware position. In our PESCO operations, on a year-to-date basis, they’ve also seen growth as a result of new contracts, new services, reaching out to new areas as well as some of the arrangements they’ve had in place with some of the LDCs, whether it be from a supplier standpoint or whether it be from an asset management standpoint. Moving to Slide 12. As we continue to have this growth, one of the things that we consistently talk about is having a balance sheet that positions us for future growth. And so as we ended September, our book capitalization was right around $880 million. We’re sitting in terms of equities to total capitalization at about 53% and equity to permanent capitalization around 70%. We recognize that with the capital expenditures we put into the ground and the amount of debt – short-term debt that we’re carrying today, we’re likely to undertake some long-term debt financing. And so we’re actually outlining the toughest [ph] part of our financing plans as we look to the latter part of this year and into next year. And so you will see that – us start to undertake that as we move forward. As I mentioned, having that balance sheet is important given that our current capital forecast for this year, and I know we’re winding down, is still about $215 million. Year-to-date, when we look at where we are through September, we’ve spent about $142 million on a year-to-date basis, so a very significant amount for us as a company. And now I’m going to phone back to Mike for some finishing remarks on these last slides.
Mike McMasters: Thanks Beth. I guess going through to Slide 14, you’ll see the quadrant graph that we pretty much present on everything we do. As you can see, one of our long-term objectives here, if you will, is to basically keep both our investments and our returns on capital at above-median levels. As you can see, we’re still sitting at top right-hand quadrant. Significantly higher level of CapEx are being spent than most of the peers, with only two that are close to us. And then on the ROE side, we’re still maintaining a very strong ROE. And so again, that’s one of our primary objectives. I think this is a key indicator for us. If we can maintain that, and we are committed to maintaining that, we will continue to have earnings per share growth that will be if not top quartile, very close to it. Next slide. I guess there’s been – just to get everyone a sense of how these – how we’ve been performing and what we’re doing over time. You can see that in 2013, again, the same graph, actually, you can see where we were in terms of CapEx and also ROE. We moved up in 2014 with a higher ROE, slightly more capital expenditures. 2015, still higher and also more capital expenditures. Then you can see 2016 falling down very slightly, still maintaining top quartile, probably top third of that total peer group. And then 2017, something very similar. So again, very strong returns on capital and also very strong growth in terms of spending capital, I guess, effectively. Looking at the next slide, Slide 16. We’re measuring ourselves also against both the NYSE and also our peer group. And so when you look at the NYSE comparisons, you can see one-year, three-year, five-year, ten-year, twenty-year, 75th [ph] percentile top-quartile performance. And then when you get to the three, five, ten and twenty, you’re talking above 90th percentile most of the time, I guess, in five years, 80th percentile. So again, very high performance when we’re comparing ourself to the NYSE companies. And then when you look at it for the – our peer group, you’re seeing the same kind of results, a very high performance. So I think – we’re proud of that. We know we’ve got a lot of work to do. We’re going to continue do the work necessary to get these kinds of numbers. I want to talk a little bit about how our – what our approach has been to accomplishing these things. And it really – and I say this all the time. It really starts with engaged employees. I mean, that’s the key. Our employees are incredible. I get more comments – compliments about our employees than I get complaints. I want to say maybe 5:1, something along those lines. It’s pretty substantial. And I think pretty much anyone that meets our team sees the quality of the employees, and that’s a critical thing. They’re highly engaged. They are excited about helping the company grow. They get – just amazing people that are working on – whether it can be a pipeline project or even M&R stations, that type of thing. They’re proud of what they’re doing. They’re engaged. They’re working hard. And because of the quality of the of the quality of the work that they’re doing, they’re providing, really, time for us to deal with more folks on business development. The fact that we are able to do that is because of the quality of the work that our employees are doing at the foundation, at the green foundation there on this graph. And then as a result, safety awards, top workplace awards, community service awards, other recognition across the organization, again, sustainable long-term growth and earnings and top-quartile shareholder return. I guess last night, Jim was in New York with the corporate governance team. They won, I guess, the top award for the corporate governance team. So just – it’s across the board. It can be the people that are out there working outside, or it could be the people working in the office. You’re going to see high-quality people doing top work. So with that, I guess we’ll open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Insoo Kim, RBC Capital Markets. Your line is open.
Insoo Kim: Good morning everyone.
Mike McMasters: Good morning.
Beth Cooper: Good morning Insoo.
Insoo Kim: Good morning, everyone. On the regulated side, I know you guys had a pretty good – did a good job lowering O&M for the quarter on a year-over-year basis. As we look towards the next couple of months, finishing off the year, how do we think about O&M expenses on a year-over-year basis for that? And was the 3Q expenses more of a timing thing to offset the year-to-date impact from weather?
Mike McMasters: No, there really wasn’t a weather impact there. Actually, if you go back and look at our cost structure, you’ll see that we started – as a result of the growth in reference, and we started to ramp up probably most of the measures in the third and primarily the fourth quarter. And so what we’ve been doing is looking at those costs hard trying to – addressing those costs in addition to, in some cases, moving things out of a consultant or a contractor into an employee. And all of those things have been helping us get our cost down. And so yes, I wouldn’t see this as a seasonal thing or anything along those lines. I think it’s – it is a position that we’re in. There’s always going to be adjustments up and down in every quarter, but I think you should – if you look at the fourth quarter of last year, you’ll see there was a pretty big ramp-up in that quarter, and I think – so I wouldn’t expect that to recur.
Insoo Kim: Understood. And switching to the increase – the healthy increase in wholesale and retail propane volumes. Could you just explain the factors driving that, whether that was more just increased customer base or more demand per customer?
Beth Cooper: You have both – and so you had two things happen. I mean, you have the additional customers that were added on the wholesale side. And then where we did see a significant increase for the quarter was – it will be timing-related, and that was in Florida given the hurricane. And so of the total increase that we saw in terms of the consumption, a big part of that, about two-thirds of that is going to be a movement in what would have been in the fourth quarter in terms of consumption, providing gallons to those customers in the third quarter. Unless you’re going to use that, there could be somewhere the propane was used, we could end up having higher consumption. But we believe a good part of that is timing-related.
Mike McMasters: Yes, it may not be obvious, but what I believe happened there is the gas on generators, basically, everybody wanted to get filled up. I can’t say everybody, but a lot of customers wanted to get their generators filled up in the event of power outages.
Insoo Kim: Got it. That makes a lot of sense. And then finally for me, the ongoing tax reform package is in the House and now the Senate. We don’t really know exactly what will come out of it. But just as it stands, perhaps, with the House bill, have you guys tried to quantify what that could mean for your company on a consolidated basis?
Beth Cooper: Insoo, we’ve done some preliminary calculations. And I would say, out of the gate, our initial response is really what it was earlier in the year, that we don’t see – certainly, we don’t see it being, from an EPS standpoint, detrimental. But we are still fine-tuning those calculations. But our initial calculations show not an exposure on the interest expense deductibility side for us. And so far, everything else that we’ve looked at, the other components, it seems like it will be either neutral or slightly will be above that. So I don’t see a downside at this point, but we need a little more time to refine our calculations.
Mike McMasters: When you think about the regulated business, so we cut the tax rates, all those deferred taxes. They will not roll into earnings on the regulated side of the business unless something changes on the regulatory front. So that potential, I guess, windfall will not occur on the regulated side. So I think that’s probably important to recognize.
Insoo Kim: Understood. Thank you very much.
Operator: Your next question comes from the line of Tate Sullivan, Sidoti. Your line is open.
Tate Sullivan: Thank you taking my question. I had a question on your Eight Flags operations, $297,000 of additional gross margin. I mean, is there more growth from that? Or is that – or are you really at the run rate of income that you’ll generate from Eight Flags?
Mike McMasters: Without some more construction, we are about at the run rate we’re going to be. Maybe…
Tate Sullivan: And what would – pardon me, what would cause fluctuations in where you – in what you earned from Eight Flags in the most recent quarter?
Beth Cooper: We had several days last year where the plant didn’t operate, Tate. So having a full quarter – or having more days of operation in the third quarter as compared to last year was the incremental difference.
Mike McMasters: That’s – service last year. I think it was June last year. Is that right?
Beth Cooper: Very end of June.
Mike McMasters: Yes, very end of June. So you had some fine-tuning going on in the system last year in the third quarter.
Tate Sullivan: Okay. Thank you. And then maybe I missed this. I think I heard a comment about some tight contracting for pipelines. Or was it related to the compression unit that you purchased? Or did I misunderstand that?
Mike McMasters: It was – the comment was on pipelines. On the compressors, I would imagine there’s probably some pressure there as well, but I don’t know if we saw that as much.
Tate Sullivan: And has it increased costs for you? Or is it more timing issues?
Mike McMasters: It’s a capitalized cost, so it’s a onetime thing. We incurred these costs to capitalize the 2017 project. And then the market, hopefully, will go to normal and not stay at the level it’s at. So it’s kind of a little abnormal just from the magnitude of the projects getting approved now that have been on hold while we waited for a quorum. And there were some other things, but anyway – so you would expect that, hopefully, we’ll go back to normal.
Tate Sullivan: Okay. Thank you very much. Have a good rest of the day.
Mike McMasters: Thank you, Tate.
Operator: [Operator Instructions] Next question comes from Spencer Joyce, Hilliard Lyons. Your line is open.
Spencer Joyce: Good morning, congrats and thanks for the great quarter here.
Mike McMasters: Thanks, Spencer.
Spencer Joyce: Just a couple of quick ones for me. We’ve discussed the hurricane impact a little bit. I’m just wondering if maybe we can bring that to a point. Beth, perhaps, is – as we look ahead at the Q3 2018 comparison period, is it fair to say that, kind of on a net basis, there really wasn’t much discernible EPS impact from the hurricanes there in Florida? And when we net out kind of the positive propane volumes with, perhaps, some negative items on the electric side, I mean, is that kind of a non-issue as we model into 2018?
Beth Cooper: Yes, that would be the case. I mean, the propane to the extent, in a sense, that we really need to look at the fourth quarter. That’s the only thing – how much of that propane moving forward and the customer is getting an earlier delivery. As we see that in the fourth quarter, we’ll be able to get some additional guidance at the end of the year. But that – from a contractor standpoint, we have a storm reserve. To the extent we utilize those contractors, those costs are against the storm reserve. So there’s really no other impact beyond this acceleration of propane in terms of the delivery.
Spencer Joyce: Okay. That’s very helpful. Only other question from me, as we look at the Northwest Florida Project and the New Smyrna piece of that coming online next year, what is kind of the approximate margin cadence across the quarters? Will that be relatively evenly split? Or will we see pretty good seasonality there in the winter months?
Beth Cooper: What we’ll do, Spencer, we’ll lay that out – right off the top of my head, I don’t recall if it’s completely even. I know Jeff Householder is joining us on the line. Jeff, I don’t know if you want – would like to comment further on that. He must not be in.
Mike McMasters: Yes, he may not be able to get in.
Beth Cooper: Well, Spencer, we’ll get back to you. But my recollection is there’s not a huge significant change quarter-over-quarter. But we’ll do – within our fourth quarter report, we’ll try to provide a little bit more clarity about how that’s going to lay out next year.
Spencer Joyce: Okay, that’s good. Yes, if you’re going to follow up, that would be great. But I mean, safe to say it would be closer to even across quarters versus the barbell that we see with the standard residential margins?
Mike McMasters: That’s going to be a function of rate design, correct? It’s going to be – the number is going to be right. That’s function was going to employ volumetrically or through capacity charge.
Spencer Joyce: Okay, understood. That’s all I had. Thanks.
Operator: There are no further questions. I will turn the call back to Mike McMasters for closing remarks.
Mike McMasters: Thank you. I guess, first of all, I’ll just thank everybody for their interest in the company. It’s a big deal to us. We know that we’re getting access to other people’s capital, and we take that seriously. And we want to be good custodians of that capital and use that to drive earnings growth. I just want to make sure to remind everybody, we are committed to safety, reliability of service and also the great service to our customers and our communities that we’re serving. And our employees remain engaged and genuinely enjoy what they’re doing. And again, our commitment to shareholders is unwavering. So thank you very much for your time, and have a good weekend.
Operator: This concludes today’s conference call. You may now disconnect. Thank you.